Operator: Good afternoon, ladies and gentlemen. And welcome to Travere Therapeutics Fourth Quarter and Full Year 2020 Financial Results and Corporate Update. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Mr. Chris Cline. Thank you. Please go ahead, sir.
Chris Cline: Thank you, Katrina. Good afternoon, and welcome to Travere Therapeutics fourth quarter and full year 2020 financial results and corporate update call. Thank you for joining us. I hope you all remain well. Today's call will be led by our Chief Executive Officer, Dr. Eric Dube. Eric will be joined for the prepared remarks by our Chief Medical Officer, Dr. Noah Rosenberg; Peter Heerma, our Chief Commercial Officer; and our Chief Financial Officer, Laura Clague. Dr. Bill Rote, Senior Vice President of Research and Development will join us for the Q&A session. Before we begin, I would like to remind everyone that statements made during this call regarding matters that are not historical facts are forward-looking statements within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of performance. They involve known and unknown risks, uncertainties and assumptions that may cause actual results, performance and achievements to differ materially from those expressed or implied by the statement. Please see the forward-looking statement disclaimer on the company's press release issued earlier today, as well as the Risk Factors section in our Forms 10-Q and 10-K filed with the SEC. In addition, any forward-looking statements represent our views only as of the date such statements are made, March 1, 2021. And Travere specifically disclaims any obligation to update such statements to reflect future information, events or circumstances. With that, let me now turn the call over to Eric. Eric?
Eric Dube: Thank you, Chris. And good afternoon, everyone. We were very pleased with the beginning of the year on a high note with the DUPLEX study recently achieving its interim proteinuria endpoint. And we look forward to discussing a bit more about that with you shortly. First, I would like to reflect on the excellent execution that we had in 2020. This is a direct result of our team members hard work and dedication to our mission of identifying, developing and delivering life changing therapies to people living with rare disease. Our key objectives last year were focused on three areas, aimed at strengthening our position as a leader in the rare disease community. The first was advancing our two pivotal Phase 3 programs for sparsentan in FSGS and IgA nephropathy. In doing so, our goal was to continue to position sparsentan to potentially become a new treatment standard for these two rare kidney disorders if approved. Despite the ongoing pandemic, our clinical and operational teams have done a phenomenal job of ensuring patient safety and continued high quality in both the DUPLEX study in FSGS and the PROTECT study in IgA nephropathy. Furthermore, their efforts led to both studies achieving the key enrollment milestones necessary to enable top line readouts from the interim proteinuria endpoints, including PROTECT which is now well-ahead of its original schedule. Both of these interim readouts are designed to support potential accelerated approval and conditional marketing authorization submissions in the US and Europe beginning this year. The second key objective was building upon our established commercialization capabilities to identify new patients that may benefit from our approved products, as well as to begin preparing our organization for a successful launch of sparsentan if approved. I am pleased to report that we maintained supply and access for our patients throughout the pandemic last year. We also continue to identify new patients for all of our approved products. In preparation for our potential launch of sparsentan, we furthered our understanding of the patient journey in both FSGS and IgA nephropathy. This includes a deeper understanding of patients needs, where patients may be identified, the therapeutic profile physicians desire for their patients, and the future role that earlier diagnosis can play. Together with our established commercialization capabilities, we believe that these deeper insights provide us with a clear pathway to be successful in delivering sparsentan if approved. Our third key objective was to further diversify our pipelines through our disciplined business development efforts. In the fourth quarter of last year, we added to our pipeline TVT-058, a novel investigational human enzyme replacement therapy that is currently in Phase 1/2 development for the treatment of classical homocystinuria or HCU. Current treatment options for HCU are limited and ineffective for money. Pre clinical data suggests that TVT-058has the potential to be the first disease modifying therapy in HCU. We believe this program is an ideal fit for our mission and expertise. It allows us to leverage our late stage development and commercialization capabilities to potentially deliver a new treatment option for people living with HCU and it provides the potential for meaningful growth on top of sparsentan. I'm incredibly pleased with our organization's performance in 2020, which is even more notable given the challenges that we have all faced in adjusting to the COVID-19 pandemic. This execution led us to meeting or exceeding our objectives for last year and importantly, it set us on a path for a potentially transformative year in 2021. This potential is driven by multiple exciting catalysts anticipated from our pipeline this year. As I mentioned earlier, our DUPLEX study in FSGS achieved its pre-specified interim FSGS partial remission of proteinuria endpoint or FPRE after 36-weeks of treatment. Based on the data from the interim analysis, we intend to pursue submissions for accelerated approval of sparsentan for FSGS in both the US and Europe. With the interim readout behind us, our focus turns to preparing for our upcoming regulatory interactions, and further building towards our goal of delivering sparsentan as a new treatment standard in FSGS if approved. We look forward to engaging with regulators in the coming months, and continuing our preparations for NDA and MAA submissions later this year. The interim assessments from DUPLEX in FSGS has also increased our confidence in the potential for sparsentan to have a meaningful treatment effect on proteinuria in IgA nephropathy. The ongoing pivotal PROTECT study in IgA nephropathy remains on track to report top line results from the interim proteinuria assessment in the third quarter of this year. If successful, this milestone could be the next significant step towards potentially reaching our goal of delivering IgA as a new treatment standard in both FSGS and IgA nephropathy. While we certainly have a number of important updates planned for sparsentan this year, we do also expect preliminary data from our ongoing Phase ½ proof of concept study of TVT-058 in HCU to become available later this year. We are excited to have this program now fully in house, and to advance our understanding of the candidate and its potential in HCU. Our goal throughout the year will be to identify the most expeditious path forward to help address the significant unmet need for patients in this community. Let me now turn the call over to Noah for an update on our clinical programs. Noah?
Noah Rosenberg: Thank you, Eric. And good afternoon. I continue to be very pleased with the advancement of our pipeline programs, and the execution of our clinical and operations teams. As Eric mentioned earlier, we are excited about the recently reported results from the pre-specified interim assessment in the ongoing Phase 3 DUPLEX study of sparsentan in FSGS. Since the top line announcement, we've engaged academic and community leaders in nephrology and patient advocacy. Many of these leaders have been responsible for directing and participating in clinical research for decades, with the hope of driving advancements in FSGS. The feedback we have heard, since announcing the top line data has been overwhelmingly consistent. For years, there has been a lack of innovation in treatment for rare kidney disorders. And while there is still much to be contributed to the understanding of FSGS there's a tremendous excitement for the potential that sparsentan offers. Today, we will not be providing additional details from the interim analysis, as our need to continue to preserve trial integrity for the ongoing DUPLEX study remains. I would, however, like to highlight two key aspects of the program that have helped formulate our view over time. First, sustained proteinuria reduction has long been recognized as a primary treatment goal amongst nephrologists treating FSGS and it is not easily achieved. When designing a DUET Study and subsequently DUPLEX Study, we work closely with the NEPTUNE Consortium to derive the clinically meaningful FSGS partial remission of proteinuria endpoint or FPRE. This is defined as urine protein-to-creatinine ratio UP/C less than or equal to 1.5 gram per gram, and greater than 40% reduction and UP/C from baseline. This foundational work demonstrated that in pooled analyses of 4 FSGS cohorts from independent trials, patients achieving FPRE, or complete remission had meaningfully better kidney survival. Importantly, this provided for the establishment of a clinical measurement that would provide a strong link between proteinuria reduction and preservation of eGFR or kidney survival and potentially support regulatory submissions for accelerated approval. It also allowed us to create sufficient modeling with sparsentan to design our Phase 3 DUPLEX Study with confidence and the length between FPRE at 36 weeks and eGFR following 108 weeks of treatment. We now have encouraging interim data from DUPLEX, the largest interventional study ever on in FSGS. It showed that treatment with sparsentan demonstrated a statistically significant response on this clinically meaningful FPRE measurement compared to the active control, irbesartan, which is considered one of the standards of care, but not approved for FSGS. Although, the interim analysis reported that treatment with sparsentan resulted in a 60% greater relative likelihood of achieving FPRE compared to irbesartan. These results are consistent with the data generated from our Phase 2 DUPLEX Study in FSGS. In DUET, sparsentan demonstrating an increasing response to FPRE and the durable and sustained proteinuria reduction out to 84-weeks of treatment in the open label extension. This reduction in proteinuria was associated with a stabilization of eGFR over an extended period in DUET. We also have a strong understanding of sparsentan’s safety and tolerability profile to date. We are fortunate to be able to draw from a comprehensive safety database our both ongoing and completed studies that extend beyond 600 subjects in multiple applications throughout the program's clinical history. In the DUET open label extension, we have followed patients for a median or more than four years, with some going out beyond six years. This has provided critical insight into the drugs mechanism and how it performs over an extended period. And most recently, the interim assessment for DUPLEX indicated, sparsentan has been has been generally well tolerated, and the overall safety profiles in the study to date have been generally comparable between treatment groups. This is very encouraging interim data from this ongoing Phase 3 study. Finally, sparsentan acts as a high affinity dual acting antagonists of both the endothelin type A and angiotensin 2 type one receptors. Both the ERA and the ARV components of sparsentan are well characterized and act on independent pathways that are well understood by the nephrology community. There has been a consistent and growing body of evidence, including the recent interim analysis with DUPLEX that support the importance of targeting, not just one, but both of these pathways together to optimize treatment for patients. There is a clear need for new treatment options in FSGS. And we believe the interim proteinuria assessment supports the potential for sparsentan to become a new treatment standard, in FSGS if approved. We look forward to engaging in the coming months with both US and European regulators on our plans for accelerated approval, and conditional marketing authorization submissions. In parallel, we are continuing to prepare these applications with the goal of entering submissions for FSGS in the second half of 2021. As Eric mentioned, the interim proteinuria data also provide us with further confidence in our approach to developing sparsentan for the treatment of IgA nephropathy. As we've outlined previously, we believe FSGS and IgA nephropathy share a common pathway where proteinuria plays a key role in both diseases. And this is important due to the fact that ERA blockade on top of running angiotensin inhibition has been demonstrated to lower proteinuria in multiple male populations. We believe these facts, combined with the anti inflammatory properties of sparsentan that has been seen in our preclinical work in IgA nephropathy, will play an active role in the disease and provide a strong rationale for sparsentan study [ph] successful. We continue to see strong enthusiasm from the nephrology and patient communities for a new, non-immune suppressants based treatment option to slow progression of disease. As a result, our pivotal Phase 3 PROTECT Study in IgA nephropathy continues to advance, and the study continues to enroll towards completion. Importantly, we remain on track to report top line data from the inner focus proteinuria assessment in the third quarter of this year. Finally, the TVT-058 program continues to advance in the Phase 1/2 dose escalation study. Our goals for this TVT-058 program will be to gain a better understanding of optimal dosing, to understand its potential to meaningfully reduce homocysteine levels, and to identify the best regulatory path forward that would allow us to address the significant unmet need for patients in this community, as quickly as possible. Similar to our other clinical trials over the last year, we are continuing to monitor the potential impact of COVID-19 on the TVT-058, which could result in adjustments and timing of any data becoming available. Based upon what we know today, we continue to anticipate preliminary data later this year. Overall, I am incredibly pleased with the progress we have made with our clinical programs, and how our execution has positioned our studies to potentially generate meaningful hope for patients that desperately need new treatment options. I'll now turn the call over to Peter for the commercial update. Peter?
Peter Heerma: Thank you, Noah. Our commercial organization has one of its strongest performances yet, in 2020. The members of our sales team are driven by their passion to make a difference for the patients we serve. And as a result of their hard work, we have quadrupled the number of patients treated with our approved products over the last six years. Despite the ongoing challenges of COVID-19, we have maintained our patient inspired focus and ensured uninterrupted supply of our approved therapies, and steady support and access for patients. As we continue to effectively identify new patients through virtual engagement with ATPs. Our organic growth in 2020 was consistently driven by new patients initiating therapy across all approved products, as well as a moderate increase in patient compliance. This translated to a 13% increase in net product sales over 2019, exceeding our guidance of single - mid single digit growth set in the beginning of 2020. Demand for easy formulation of THIOLA remained steady. The bile acid portfolio remained strong and Cholbam continues to see demand driven by cumulative efforts of our Cholbam teams to educate pediatric geneticists on the importance of treating diabetic involvement of Zellweger spectrum disorders, as well as our commitment to provide genetic screening to esthetic patience. Looking ahead, we will continue to monitor for any COVID-19 related impact on potential shifts in patient insurance coverage, as well as patient's ability to see their physicians. As has been difficult for us in the years past, we anticipate even growth in the net product sales throughout the years, including anticipated higher gross and net discounts in the first quarter, driven by insurance coverage changes in the beginning of the New Year. Importantly, we believe there will be continued demands for our approved therapies that we can achieve mid single digit growth for the full year of 2021. We continue to feel our continued success with both THIOLA and Cholbam as strategic strengths to leverage for future commercialization of our development programs if approved. To this end, we were pleased to recently enter into a co-promotion agreement with Albireo for the odevixibat [ph] product in US if approved. This agreement will allow our global team comprised of 12 sales representatives to leverage and demonstrated capabilities and leadership position to deliver an innovative new treatment option for patients living with PFIC. They will also simultaneously strengthen existing relationship with pediatric hepatologist, and gain current logs experience to apply to future launches from our pipeline. Throughout in 2021, we plan to focus our efforts on preparing the organization to leverage our success, the deep experience of our teams and our established infrastructure to effectively launch and deliver sparsentan next year if approved. We look forward to sharing more with you about our product progress in the coming quarters. I'd like to turn the call over to Laura now to the financial update. Laura?
Laura Clague: Thank you, Peter. During the fourth quarter, net product sales from our commercial portfolio grew to $51 million, a 9% increase over the same period in 2019. For the full year 2020, we reported $198.3 million in net reported sales. We reported a GAAP net loss of $121.6 million for the fourth quarter of 2020. This includes approximately $97 million of IPR&D expense [indiscernible] directly related to the acquisition of TVT-058 in the Orphan Technologies Center we completed in the fourth quarter of last year. For the full year 2020, GAAP net loss was $169.4 million. The increase over 2019 is largely attributable to higher expenses to support our ongoing clinical and product development efforts, as well as the TVT-058 transaction. After adjusting for non-cash expenses and income tax, we reported a non-GAAP net loss of $112.9 million for the fourth quarter and $137 million for the full year 2020. On a GAAP basis, R&D expenses were $38.4 million for the fourth quarter, and $131.8 million for the full year 2020. The decrease compared to 2019 is largely attributable to the discontinuation of the fosmetpantotenate development program in the fourth quarter of 2019. On an adjusted basis, R&D expenses were $35.7 million for the fourth quarter, and $121.2 million for the full year 2020. Relevant non-GAAP expenses for the fourth quarter included $2.7 million of stock based compensation and amortization. On a GAAP basis, selling, general and administrative expenses for the fourth quarter were $35.7 and $135.8 million for the full year 2020. The increase over the same period in 2019 is largely attributable to increased compensation expense to support the growth of our organization and higher professional fees. On an adjusted basis SG&A expenses for the fourth quarter were $25.5 million and $98.2 million for the full year 2020. Significant non-cash adjustments for the quarter consisted of $10.2 million in stock based compensation and depreciation and amortization. As we look ahead to 2021, we anticipate that operating expenses will increase quarter-over-quarter and year-over-year as our two pivotal studies of sparsentan continue to advance to the eGFR confirmatory endpoints in 2023, and as we continue to develop TVT-058. We will also be investing this year to further prepare for two potential launches, the sparsentan in 2022 if approved. Our financial foundation to support this activity remained strong. We ended the year with $361.6 million in cash and cash equivalents. In February, we completed a common stock offering that resulted in net proceeds of approximately $189 million, which is not yet reflected in the balance sheet as of the end of the year. Notwithstanding additional business development, this total cash balance is expected to support our operations beyond the next two years. This includes the ongoing Phase 3 studies and FSGS and IgA nephropathy, as well as plans for the anticipated launches sparsentan in FSGS next year, and the TVT-058 development program. I will now hand the call back over to Eric for his closing comments. Eric?
Eric Dube: Excellent. Thank you, Laura. And Happy Birthday, Laura. What a way to spend your day today with us. 2020 was a year of excellent execution for Travere. I would like to thank each and every one of our team members and partners for their contributions and for their continued dedication to our common goal of elevating science and service for patients living with rare disease. Their efforts have shown how when we come together with a clear focus on our objectives, that we could be incredibly successful in achieving our goals for patients, even in the face of a global pandemic. We are carrying the same dedication and purpose into 2021. In this New Year, we will focus on continuing our positive momentum in the sparsentan programs through upcoming regulatory interactions, and continued high quality study conduct. We will also focus on further strengthening our commercialization capabilities, so that we can effectively meet the diverse needs of patients living with FSGS and IgA nephropathy if sparsentan is approved. And we will continue to focus on advancing programs such as TVT-058, to build our sustainable growth as a leader in the rare disease community. With that, let me turn the call back over to Chris for Q&A. Chris?
Chris Cline: Great. Thank you, Eric. Katrina, can we please go ahead and open up the lines for Q&A?
Operator: [Operator Instructions] Your first question comes from the line of Greg Harrison of Bank of America. Your line is open.
Greg Harrison: Hey, guys, congrats on the progress. And thanks for taking our question. As you approach, the potential launch of sparsentan. How are you thinking about leveraging your existing commercial infrastructure? And then what investments beyond your current infrastructure would you need to make to launch the product and then also to educate physicians about the availability of a new treatment for FSGS and potentially, IgA nephropathy also?
Eric Dube: Hi, Greg. Thank you very much for the question. And before I turn it over to Peter, for his thoughts on our preparation for the launch, I think one of the unique aspects of Travere is the infrastructure that we already have with our commercial portfolio, including for physicians that serve the cystinuria community and treat with Thiola, Thiola EC. So many of them are nephrologist. And we have a strong set of relationships already with many nephrologists in the US. Peter, if you want to talk a little bit more about how we would look to expand and what that investment profile would look like for the launch.
Peter Heerma: Yes, absolutely. Eric. And thanks, Greg for your question. Yes, to your point. So we have a filed force of two teams, we have nephrology & neurology team and then we have the more ultra rare, rare hepatology team. So currently, we are calling on about 2000 neurologist already. So I think we have a good footprint in neurology there. We will certainly be extending that in preparation for the sparsentan month. I think we had a solid footprint that we can build upon. With regards to how we think about the market education, I think that was the second part of your question. We are planning to see state education and don’t know Noah, if you want to give some color on that with regard to medical affairs initiatives.
Noah Rosenberg: Yes. Thank you, Peter. And Greg, so the way we approach medical education, and especially important this year in the pre-launch here, is just to make sure that there's a clear understanding with physicians, and in the link between proteinuria and eGFR and overall outcomes. I think that's an area that we've pointed to, there's quite a bit of literature on that and has clearly been borne out in our data set. So that'll be really one important area. The other area, I think, that we're focused on is Real World Evidence, and generating and building that data set and ensuring that we've got the right, both global and regional data sets to help ensure that the right data is out there. And people's, questions are addressed with regard again to the link proteinuria, and outcomes and overall understanding of FSGS and progression and how devastating this disease really is.
Greg Harrison: Thanks. That's very helpful.
Operator: Your next question is from Carter Gould from Barclays. Your line is open.
Carter Gould: Great. Good afternoon, guys. And congrats on all the progress. I guess the first one, just as we think about those conversations with FDA, can maybe just give us a rough idea and how you tend to communicate the outcomes of those meetings, if you wait for four minutes. And if we should expect that, I guess, if we can communicate via press release. And then on the SPARTAN study, haven't really talked too much about that in the past, just kind of how you see that, I guess what you intend to learn from that. And if we should expect any other sort of additional LCM plans to pop-up over the course of the year? Thank you.
Eric Dube: Sure. Thank you, Carter, for the questions. Let me take the first one with regard to the FDA engagement, our communication plans, we do have, obviously, very important meetings with regulators coming up. And our focus would be to communicate after we receive minutes to ensure full alignment, and clarity from the FDA. And so, you can expect that in the first half of this year. And further updates as they progress towards our submission that is planned in the second half of this year. Noah, would you like to talk a little bit about the SPARTAN study, the status and really why that study is being conducted?
Noah Rosenberg: That's a great question. So when you look at PROTECT and in IgAN population, we've got a study, large study that's going to give us really answering important question about proteinuria adoption and now population. And understand again, that link to eGFR that we talked about. I think, what SPARTAN does layers on there, it's also an IgAN populations of partnership with Leicester, with Dr. John Barrett [ph] who, as is a luminary in this field. And what the SPARTAN study does, it helps us understand the why, why are these changes happening? What are the mechanistic changes that are occurring at a cellular level that are leading to these improvements in proteinuria and stabilization eGFR. So in SPARTAN, it's a small study, but it's very densely packed with imaging on multiple biopsies, it's really a rare opportunity to look at serial biopsy patients, see what the physiologic changes are, on an anatomic level. We've talked about the effects of sparsentan on inflammation. We've seen that in animal models, we've seen improves in apoptosis, mesangial hypertrophy, these are the kinds of things that we'd like to be able to show and see in those - in SPARTAN in those surreal [ph] measures. And again, also MRI, we know MRI is very robust measure of anatomy, physiology, and how the other function of the drug is working. So I think it'd be important to fill those blanks in, and it's a really great partnership, we're very proud of and thrilled to be a part of this.
Carter Gould: Thank you.
Operator: Your next question is from Joseph Schwartz from SVB Leerink. Your line is open.
Joseph Schwartz: Hi. Thanks very much. I was wondering, given your success so far in the PRIMARY FSGS, what your latest thoughts were on whether you would have a sense of when the right time to study secondary FSGS - FSGS, if at all, is? Thank you.
Eric Dube: Joe, thanks for the question. I would say first and foremost, our priority is to complete, the programs that we have so far, and we certainly recognize the broader utility or the potential broader utility for sense. Maybe Noah can share a little bit about his thoughts, and maybe some of the feedback from the nephrology community.
Noah Rosenberg: Yes, it's an excellent question. It really speaks to the common pathway, right, across these disease states that we've talked about. If you look across multiple disease states, you'll see that ERAs have shown on top of RAS inhibition to improve proteinuria, stable - and even improve outcomes in some diseases. So I think it really speaks to that. I think that's - secondary FSGS is an area that we've looked at, we've been asked about it quite a bit. We will have, pretty robust access programs, and we're going to look at that, obviously, very carefully. To Eric's point, our primary focus is to ensure that DUPLEX is completed, and it's done with high quality, and if we get that study, finish. But I think we've looked at some other mechanisms. Some of the other opportunities are things like investigator sponsored trials, different ways that we can look at this. But clearly, if there's a demand there's an interest, I think, with secondary after shifts [ph] in proteinuria treat the underlying risk factors. But we think interesting is secondary - many patients with evidence have hypertension. So there's quite a bit of overlap there as well. And there's no reason we wouldn't believe that this drug wouldn't offer potential benefit. It's just a matter of Eric's point, the timing and what we want to generate that dataset.
Joseph Schwartz: Right. Yes, that makes sense. Thanks. And then another one on sparsentan. I was intrigued by some comments recently that it's highly protein bound. And so patients with IgA nephropathy may not need as high a dose as those with FSGS. I was just wondering, is there - if you could expand on that hypothesis a little bit and tell us what -- or believe, will be the case with that phenomenon, in terms of anything that's known as far as like PKPD, or any other inferences you can make on that in that regard?
Eric Dube: Certainly, Joe. Why don't Bill you take that question?
Bill Rote: Certainly, with FSGS and IgA nephropathy, one of the key differences in this two is the just the frank level of proteinuria. With the wasting of proteinuria in greater in the FSGS patients, we can observe in some patients an albuminuria. They're actually losing enough protein that albuminuria level goes down in asthma and that was one of the rationales, one of the driving rationale behind using the 800 milligram dose in the FSGS to provide additional drug to offset any that was lost, being bound to protein and it's deposited in the urine. From a PKPD standpoint, a lot of exposure response data with sparsentan at 200, 400 and 800 milligrams. And while 100 and 800 are no larger – are different numeric, when we look at the exposure and the PK values, there's a high degree of overlap. So the difference between the two is not large. They are significantly overlapping. It's just the 800 provides an additional buffer to those patients who might be in an albuminuria state.
Joseph Schwartz: Right, yes. Okay, that helps connect some dots. Thank you for taking my questions.
Bill Rote: Sure.
Eric Dube: Thank you, Joe.
Operator: Your next question comes from Tim Lugo from William Blair. Your line is open.
Unidentified Analyst: Hi, guys. This is John on for Tim. Thanks for taking my question. I want to say congrats on the recent collaboration with Albireo, we know Ron and the rest of the team over there really well, and think that they're going to be a really great partner. Just wanted to get some of your thoughts and your expectations for odevixibat. And as a follow up housekeeping question, how we should think about incorporating the deal into our models? Thanks.
Eric Dube: Thank you, John, for that. We're really pleased to have the collaboration. And in rare disease collaboration is such a critical part of reaching these patients who are so often underserved. I'll ask Peter to talk a little bit about our thoughts. And we'll obviously need to be very careful and limit, our thoughts on the broader opportunity, and I think really rely on Ron and his team to provide that. But I think we can talk about strategically where we see this opportunity fitting for us. Peter?
Peter Heerma: Yes. Thanks, Eric. And it's, indeed a great, great question. And we're very pleased with the collaboration opportunity with Albireo group. And I think to Eric's point, I mean, we see mainly the strategic value for us, I think this collaboration demonstrates and sort of strengthens our leadership position in the rare hepatology fields. But thinking about our pipeline and the products that we are planning to launch in the next few years, I think it's a great opportunity as well for us to further sharpen our experience of launching new products, new fields and new molecular entity, which is helpful for us, was quite simple next year, if approved, but also for our CPH indications for CINGAL [ph] and later on TVT-058. So I think it's an important capability in particular when you think about COVID in the post COVID environment that we are playing. And so I think this collaboration also allows us continued access to our core stakeholders in the hepatology community.
Unidentified Analyst: Okay, helpful Thank you.
Operator: Your next question is from Michelle Gilson, Canaccord Genuity. Your line is open.
Michelle Gilson: Hi, thanks for taking my question. I am just wondering if you've had any preliminary peer discussions. And if you could maybe comment on how strong your value proposition might be for sparsentan in FSGS with just proteinuric data, or would you expect, I guess that immature eGFR data that was talked about previously to be in a future label? I guess that's two questions. And then do you anticipate the value proposition would change between the interim proteinuria results, and a potential I guess, accelerated approval to having full confirmatory eGFR data?
Eric Dube: Michelle, thanks so much for the questions. And certainly very important, as part of the work that Peter and Noah and their teams are doing to prepare for commercialization. I think the answer is, is clearly yes, there has been ongoing discussions with payers, both in the US and Europe to make sure that we understand with this emerging rare renal field, how do we ensure that we have a strong value proposition for access and reimbursement for what we see as the addressable population? Peter, why don't you talk a little bit about how we see value proposition and the role that proteinuria would play in that assessment?
Peter Heerma: Yes, absolutely. And thanks for your question, Michelle. Very good question. And very important to make sure that the value of sparsentan and how that translates in the longer term if this is well characterized. I think that comes from several components. At the R&D day in December, we spoke about making innovative, motivational sparsentan, the ability to delay towards end-sage kidney disease. We also talked about quality of life and how we integrate quality of life in our modeling. And then you have the safety component perspective, like steroid sparing proposition potentially. So just referring to our R&D day, I don't know if you remember Dr. Barrett was showing some of his analysis on patient level data, where he showed like a 30% reduction in proteinuria, actually translated into 10.4 year delay towards end-stage kidney disease. So we are doing the same work right now for FSGS. So we will have to translate its value base of historical data, but then also translating it to patient level data directly in physician offices. So that's how we approaching the value proposition. We have to Eric’s point continuing dialogue with US payers. And yes, that's how we plan for the price discussion.
Michelle Gilson: Okay. Thank you, guys for taking my question.
Eric Dube: Thank you, Michelle.
Operator: Your next question comes from the line of Maury Raycroft of Jefferies. Your line is open.
Maury Raycroft: Hi, everyone. Congrats on the progress. And thanks for taking my questions. First one, I just wanted to check in on an update that happened post-close with FibroGen. They got a request from FDA for an AdCom. I think it was unexpected based on what FibroGen has said in the past. So just wondering what your thoughts are on the unexpected update, and if you could comment and whether you've interacted with FDA recently, and how did those interactions go?
Eric Dube: So Maury, thank you very much for the questions. I've not seen any details specifically on FibroGen and wouldn't see our place to comment on any detail about their program. What I can't say is that we've had and continue to have discussions with FDA, and I'll have Bill share a little bit about, our plans and how his team is preparing for the submission and review.
Bill Rote: Certainly, we have a pre-NDA meeting coming up in the first half of the year, it will be agent's first opportunity to look at, evaluate the interim - interim data in detail, and overall objective of the meeting for us in that sense will be to sign on all plans to set these data for Subpart H accelerated approval. And we'll be looking to align on how we present the data. The current study as well of the legacy data and make sure it's their need for review. At that point, there may or may not be a discussion about panels to your question. And once we've had that meeting and then and have minutes we, as Eric stated earlier, will communicate that out to the public.
Maury Raycroft: Great. That's really helpful. Okay, well, thanks for taking my questions.
Eric Dube: Thank you, Maury.
Operator: Your next question comes from the line of Liisa Bayko from Evercore ISI. Your line is open.
Liisa Bayko: Hi, there. Thanks for taking the question. Could you maybe just speak to now that you've had time to reflect on the date a little bit more, sort of the change in placebo will not change, but we had about a 9% placebo rate in the Phase 2. And then it went up to 26% in this study, which actually was kind of close to, in a way, what the original data was for sparsentan, in the first study. So anyway, just curious on kind of your thinking of, and its not placebo, sorry, irbesartan, why do we see that kind of gap up there? I have my own thoughts, but curious. And if you've had any – just think about that. And then any other feedback you've gotten on the data so far be helpful. Thank you.
Eric Dube: Liisa, thanks for the questions. And I'll ask Noah to share his thoughts. And perhaps some of the discussions with nephrologists around the FPRE data that we've seen. But I think before I turn it over to Noah, I’d say, first and foremost, the results that we saw at 36-weeks, were incredibly strong, and, support our belief that we have the data, one that's within our powering, but two, sufficient for, treatment effects for Subpart H. I’ll ask Noah to share a little bit about his thoughts on why we might have seen that. But I think certainly, we're contributing a tremendous amount to the field in this being the largest and the longest trial conducted within FSGS. So very little information previously, to go on beyond the eight weeks that we had in Phase 2. Noah?
Noah Rosenberg: Yes, I think to that point, Eric, and somebody just questioned, if you look at the data that you're referencing, Liisa, at eight weeks, where we had the double-blind period, for the Phase 2 DUET study, we saw, a 9% versus 28% achievement FPRE. So that was eight weeks. We didn't know was how that would progress out to 36 weeks, and now DUPLEX, we've got the 36 week data. And I just want to take a step back and reflect on something Eric said, which is, DUPLEX really is the largest and longest study in FSGS. And certainly, it provides lots of insight in terms of how not only drugs progress, but insight for the field. And in the in the 36 week data DUPLEX showed that sparsentan was consistent with the expectations of the [indiscernible] So if you go to the 36 week data point, it almost tracks perfectly to a 42% achievement of FPRE, which really speaks to the remarkable consistency of the drugs. And, and it outperformed irbesartan, in a statistically significant manner, which tells you that this was within our powering assumptions. And I think we're -- and when you talk about kind of how we do it, and then has validated this with the nephrology community and what the inbounds have been, they're incredibly encouraged by a 60% relative likelihood or greater relative likelihood of achieving FPRE, which we know is important clinically meaningful endpoint linked to eGFR stabilization. With – and it's important to mention a comparable safety profiles between those two groups. So in a sense, really, this is the strongest proteinuria reduction that has been generated in this field. If you think about it with a non-immunosuppressive therapy. And I think that's a critical piece, because there's been a just a huge need, a huge unmet need for once a day, it's an oral treatment. And I think it's well characterized through our Phase 2 DUET long term data set. We understand fairly well how this drug works from safety standpoint. So I think that's really what has really led to the excitement.
Eric Dube: I think the only other thing that I would add is that some of the feedback that we've heard from nephrology thought leaders is also that the results are not surprising. And while there was a greater increase from eight weeks to 36 weeks, but this is consistent with clinical practice. So I think that consistency that we see between this trial clinical practice, but as Noah mentioned, that consistency of sparsentan profile on this endpoint, from Phase 2 to Phase 3, is incredibly encouraging. And I think that's one of the, themes of the feedback that we're hearing from KOLs.
Liisa Bayko: Okay, thanks. And I know there's a CKD three conferences coming up later this week, and I noticed you're going giving a talk there, will that include any updates or details on the trial so far, the data or anything like that?
Eric Dube: No, it will not provide any additional data. It will be an additional presentation of what we know to date and what we have announced publicly to date.
Liisa Bayko: Okay, great. Thanks. And then just, if you could talk a little bit about TVT-058, is this trial - is this slightly delayed, I thought we were maybe expecting data earlier in 2021. And then - but whenever we get data, if you could just frame up, what we should be looking for and expecting in that data set? And that's my final question. Thank you.
Eric Dube: Okay. Thanks, Liisa. And the program continues to progress. And I'll ask Bill to share a little bit about the status and what we'll be looking for from that trial later this year.
Bill Rote: Certainly. Thanks for the question Liisa. As Eric said, the study continues to advance. And we do expect to have preliminary data this year, from what we want to or expect to see that we're going to be evaluating the selection of the right dose, or the effects of the medicine across different doses, looking primarily at reductions in plasma homocysteine. And additionally, we're going to be working to develop the regulatory strategy going forward. I think some of the caution that you're hearing in our length is just that with a smaller study, the impact - the potential impact, I think is greater than something like DUPLEX with - sites and different reasons. Additionally, in this case, we have a biologic as opposed to a small molecule. And the contract manufacturing space in the biologic world is impacted right now quite broadly with COVID vaccine manufacturer. While we have contingency plan in place, and we are on track, it's an - that we continue to monitor.
Liisa Bayko: Okay, thank you.
Eric Dube: Thanks, Liisa.
Operator: Your next question comes from the line of Laura Chico from Wedbush Securities. Your line is open.
Laura Chico: Thanks very much for taking the question. I just wanted to circle back on - one to clarify. And that's with respect to the protein binding. So, of course, and I think you mentioned earlier that well, dosing in FSGS trial is permitted to go to 800 milligrams, excuse me, but in PROTECT, you're only dosing up to 400 milligrams. And in terms of clarifying I just wanted to make sure I understood, with the decision to use the lower dose in PROTECT versus DUPLEX purely based on the drugs protein binding properties, or are there other factors that kind of came into the decision making process there? And then perhaps one quick follow up question for Laura, perhaps, and happy birthday. While we have the DUPLEX top line results in hand, obviously, the study is going to be continuing and just wondering how we should be thinking about the cadence we've spent on the R&D line this year with two pivotal studies continuing? Thanks very much.
Eric Dube: Thanks, Laura. Maybe I’ll mention very briefly about the protein binding and ask Bill to provide anything that I've missed. I think one of the other aspects that came into play is from the DUET study, albeit that is in FSGS. We do see that the - both doses of 400 and 800 are quite effective in proteinuria reduction. And we believe that we would not be compromising much efficacy. And I think as Bill alluded to, the dose response is more sigmoidal and at 400 you're getting close to the top of that S-curve. And so that was a very important component of some of the decision making about what dose to select. So yes, it was about protein binding, and serum protein levels, but it was also about the degree of efficacy conferred with those doses. Bill, anything further that you'd want to add on that?
Bill Rote: No, I think that's exactly right, Eric.
Eric Dube: Okay. And Laura?
Laura Clague: Yes. Hi, Laura. Thanks for the birthday wishes. You can expect to see R&D expenses increase over the current quarter level, for a lot of the reasons we've been describing. And we think about maybe more traditional Phase 3, where once the studies reach out, your R&D expenses could technically start to trend downward. In our case with the Subpart H pathway, we still have to run studies out to the 408 week, confirm it with eGFR endpoint. In addition to that, we'll be investing in our new program TVT-058, and also building up for commercial scale with our supply chain. So those are significant investments that will all be happy at this point in time. So definitely expect some modest increases in R&D as we go quarter-over-quarter compared to current level.
Laura Chico: Thanks very much.
Eric Dube: Thank you, Laura.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Mr. Chris Cline.
Chris Cline: Great. Thank you, Katrina. Thank you, everyone for joining us this afternoon to talk about our many accomplishments in 2020 and our exciting outlook for 2021. This concludes our call for today. We look forward to providing updates in the near future. I hope you all have a great rest of the week.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.